Operator: Good morning. My name is Melinda, I'll be your conference operator today. Welcome to Luxfer's First Quarter 2023 Earnings Conference Call. [Operator Instructions] Now I will turn the call over to Mike Gaiden, Vice President of Investor Relations and Business Development from Luxfer. Mike, please go ahead.
Michael Gaiden: Thank you, Melinda. Welcome, everyone, to Luxfer's first quarter 2023 earnings call. With me today is Andy Butcher, Luxfer's Chief Executive Officer; and Steve Webster, Luxfer's Chief Financial Officer. On today's call, we will provide details of our first quarter performance as reported in the press release issued yesterday. Today's webcast is accompanied by a presentation that can be accessed at luxfer.com. Please note, any references to non-GAAP financials are reconciled in the appendix of the presentation. Before we begin, a final reminder that any forward-looking statements made about the company's expected financial results are subject to future risks and uncertainties. We undertake no obligation to update any forward-looking statements, whether as a result of new information, future events or otherwise. Please refer to the safe harbor statement on Slide 2 of today's presentation for further details. Now I will turn the call over to Andy for a summary comments on the quarter and our outlook, after which Steve will provide details of our financial results and 2023 guidance. Andy will then offer some additional comments before Q&A. Andy, please go ahead.
Andy Butcher: Thank you, Mike, and welcome, everyone. Please turn to Slide 3. I'm pleased to share with you details of our first quarter performance. Our team at Luxfer continues to drive hard for our customers and to execute effectively in a challenging environment. These efforts helped us to deliver adjusted EPS of $0.20 in line with our earlier outlined expectations. Sales increased 4.4% with both business segments posting constant currency sales growth. Transportation and general industrial sectors weighed on our sales volumes and profit performance. We are seeing increasing signs of macroeconomic softness in these areas with our order book is lower year-over-year, impacted by destocking as well as project delays in alternative fuels. We are enacting additional pass-through initiatives to offset higher input costs. We demonstrated important progress at Gas Cylinders on this front. So we see incremental weakness in select portions of our business, we remain confident in achieving sequentially higher EPS. I would now like to turn to Slide 4 to provide an update on our business segment outlook. We expect a softer outlook for certain of our end markets over the balance of the year, although this is offset by helpful secular tailwinds in other areas. The multiyear recovery ongoing in aerospace and automotive continues to bring positives, especially with commercial and military aircraft products. The demand for SCBA cylinders for firefighters and medical oxygen cylinders for health care remains firm for Gas Cylinders. We are also taking advantage of opportunities for growth in our chemical kits and our new UGRE group Russian offerings as well as stronger demand for new zirconium products within Elektron. At the same time, we're seeing a greater number of challenges in other areas. After a volatile supply chain backdrop over the last few years, we now see customer destocking as a growing headwind across our business, particularly in oil and gas, where flattening in fracking activity is having an impact. In alternative fuels, we've seen slowing in several anticipated projects, and we continue to see soft demand in Europe for magnesium photo-engraving plates and uneven demand for large industrial Gas Cylinders which are after the capitalized investments. Importantly, we are progressing on a number of key internal efforts that will support our 2023 profit goals. Together with our customer partners, we progressed the qualification of alternative supply of magnesium for countermeasure flares amid the continuing and extended U.S. magnesium production outage. Overall, we have exceeded our expectations for shipments of military flare materials in Q1. In Gas Cylinders, we enacted cost pass-through measures to recoup material inflation, both at the start of this year and on April 1. Combined with efforts in Q1 to reduce fixed costs by more than $1 million annually, further actions planned in upcoming quarters will also help to improve margins in this business segment. Turning to the supply chain. We are seeing improved availability in general. However, the pricing of select materials continues to rise, including Carbon Fiber while others have sustained pricing well above historic levels, such as basic chemicals and aluminum. We have successfully introduced additional sources of supply to leverage both volume and price, although this has also increased our inventory holding. Though the operating environment has trended incrementally tougher for Luxfer since our last update, we remain focused on delivering our near-and long-term business objectives with a continued emphasis on profitable growth, including investments in talent and infrastructure. Steve will discuss our guidance for 2023 after reviewing more specifics about our Q1 performance. Steve?
Steve Webster: Thanks, Andy. I'll begin on Slide 5 with a summary of our sales results by end market. I'm pleased to report that we generated year-over-year sales growth of 4% during the quarter. Defense, first response and health care sales grew 32%, driven by robust military demand as we saw in the fourth quarter. Sales of magnesium alloys for defense aerospace and chemical kits both increased, while SCBA, medical oxygen and zirconium pharmaceutical applications also contributed to sales growth in this end market category. Transportation sales decreased 10%. We continue to benefit from the ongoing recovery in the aerospace and automotive markets, as Andy mentioned, magnesium alloys for commercial aerospace and zirconium auto-catalysis materials moved higher. However, after realizing accelerating sales in the prior two quarters, alternative fuel sales slowed, which was disappointing but not entirely surprising given the unevenness inherent in this early stage market. General industrial sales declined 8%, with mixed performance by product type. Zirconium oxide and chemical catalysis both saw growing demand. However, these gains were more than offset by contraction in oil and gas and magnesium photo-engraving plates. We discussed the backdrop for these categories on our prior call. We are pleased with the resilience demonstrated by several key areas of our product portfolio and additional gains in some secular growth end markets realized during the quarter. Now please turn to Slide 6 for a summary of our consolidated first quarter financial results. First quarter sales of $101.3 million increased $4.3 million from the prior year. This growth was driven by $10 million of price action to address rising input costs, partially offset by adverse volume and mix as well as foreign exchange headwinds. Consolidated adjusted EBITDA of $11.3 million in quarter one decreased $4.8 million from the prior year. Volume mix negatively impacted our performance by $1.7 million on a year-over-year basis, with foreign exchange a partial positive offset of $0.8 million. Growth-related headcount investment and higher legal expenses, as discussed in our quarter four call also reduced profit for the period. We remain focused on addressing pass-through from input cost inflation and enacting efficiency gains to best navigate the current demand environment. Now let's turn to our segment results on Slide 7. Elektron sales of $59.8 million increased 10% from a year ago again driven by our further push to pass through inflation, partially offset by volume mix of $0.9 million and foreign exchange headwinds. However, Elektron's EBITDA of $8.8 million decreased by 34%, largely due to volume and mix as well as the impact of legal and other costs. Advanced recovery of inflationary costs during 2022 inevitably make year-over-year comparisons challenging for this segment. Gas Cylinder sales of $41.5 million decreased 2% due to adverse impacts of $1.5 million from foreign exchange and $2.5 million from volume mix, which offset a $3.1 million positive impact from cost pass-through. EBITDA of $2.5 million contracted 7% from $2.7 million in the prior year due largely to the impact of volume mix. Encouragingly, cost pass-through fully offset inflation in the quarter, demonstrating traction in our effort to turn around and ultimately restore margins in this business. We also benefited from the implementation of fixed cost savings initiatives with additional cost actions planned in the coming quarters. Now I'd like to discuss our updated 2023 outlook on Slide 8. Balancing the demand picture Andy detailed earlier, with our internal assets and a deficiency, we continue to target 2023 full year adjusted EPS of $1.15 to $1.35. Though we have lowered our current 2023 projection for sales growth to 4% to 7%, down 6% to 10% in our prior call, we're focusing on margin and cost control to achieve our EPS objectives. We expect EPS to accelerate to the mid-$0.20 range in quarter two. We are also bringing increased focus on cash generation. While we are maintaining our 100% goal for adjusted free cash flow conversion, this is somewhat challenged by ongoing pressure on inventory, which impacted cash performance in the first quarter. That said, a quarter on cash outflow does reflect typical seasonal norms for our business and we expect significant sequential improvement going forward. Despite the mixed cyclical backdrop, we are maintaining our growth-related CapEx plans, which are supported by our full year profit expectations and our sound capital position. Furthermore, I'm pleased to confirm that we achieved the successful buyout of our U.S. design benefit pension plan in quarter one for $2.3 million, less than the $3.5 million we outlined previously. Also related to the balance sheet, I want to highlight that we plan to repay our $25 million private placement loan due in June of this year with proceeds from our $125 million revolver. Pro forma for this anticipated loan repayment, we would hold nearly $60 million of immediate liquidity, which remains robust relative to our capital planning and the evolving macro environment. I look forward to updating you on our progress to not only deliver on our profit objectives, but to further invest in positioning our business for long-term growth. Now I'd like to hand the call back over to Andy. Andy?
Andy Butcher: Thank you, Steve. I will now share some additional details on the implementation of the Luxfer Business System. Please turn to Slide 9. During our Q4 call, we outlined the sustainability segment of the Luxfer Business System. Today, I would like to discuss strategy deployment, another key segment of the model, which you'll remember optimizes our internal processes for customer focus and profitable growth. We have refreshed our annual approach to our multiyear strategic planning process to ensure alignment with our profitable growth objectives. While customer first and innovation continue to form the cornerstones of our strategy, we've incorporated a balanced scorecard tool to ensure regular advancement of our progress towards our $2 EPS goal. This effort also ensures that we maximize the potential of the tailwinds benefiting our business, such as the Inflation Reduction Act. This new approach is being rolled out across all our businesses and is enabling us to quickly and flexibly deploy resources to the optimal growth areas. Maintaining a talented team also remains absolutely critical in our efforts to execute on our strategic aims. So I want to quickly highlight our Luxfer Management Development Program on Slide 10. We launched this activity as part of an overall program to further strengthen our promising talent base across Luxfer. This initiative will help 20 of our many high-performing junior employees to accelerate their professional development while also executing specific projects to bring benefits to our organization. These team members who all met for a joint session in Manchester last week will provide an important resource in our drive to sustained profitable growth. Now let's conclude by refreshing briefly on Luxe's strong position for value creation. Please turn to Slide 11. Luxfer's mission to help to create a safe, clean and energy-efficient world, continues to resonate strongly with our stakeholders and is helping to attract and retain customers, employees and capital partners. During the quarter, some of our recently introduced products in health care, defense and clean energy generation have helped to offset some of the cyclical weakness in the general industrial and transportation markets. These premium offerings bring a long runway of commercial opportunity ahead. Together with our investment in further innovation and talent to drive growth, Luxfer's well positioned for value creation. We remain confident in the bright future ahead of us. Now I'd like to turn the call back to the operator to begin the Q&A session. Melinda, please go ahead.
Operator: [Operator Instructions] And we take our first question from Michael Leshock with KeyBanc Capital Markets. Please go ahead.
Michael Leshock: Hi, good morning.
Andy Butcher: Good morning, Michael.
Michael Leshock: I wanted to start asking about the split between price and volume as it relates to your guidance. You previously said that it would be roughly a 50-50 split, but that verbiage was removed from guidance now. Should we expect this to be predominantly price-driven going forward? Or what's the value contribution that you're expecting within your guidance?
Andy Butcher: Yes. Thanks for the question on that. This is Andy. The reduction in the revenue guidance comes from the volume expectations, most notably the general industrial sectors, but partially offset by that strength we talked about in defense, first response and health care. So in most cases, Michael, we expect to hold our pricing goals and especially to make progress in Gas Cylinders. So at the top end of that 4% to 7%, there's likely some growth for us, perhaps not at the lower end. As we think about what that means for us overall, our full EBITDA guidance remains inflate, although continuation of the softening in some of the markets over the last two months may make the lower end perhaps more likely. But we're buoyed by the opportunities that we see in defense, first response and health care as well as some of the clean energy products.
Michael Leshock: And then on the legal check. What exactly was that if you could provide some more detail and maybe the magnitude and if there's any potential that, that might recur going forward?
Steve Webster: Yes, Michael, it's Steve here. I'll take that. Yes, the legal cost is entirely related to the matter that we referred to in our prior call, which is disclosed in our 10-K and our 10-Q now. So it's the same situation. And the level of spend is very much in line with what we saw last quarter and also the expectation we have going forward. So around about $1 million of legal cost in the quarter.
Michael Leshock: Got it. And then lastly for me, I wanted to ask on raw material availability. Where are you seeing improvement? What's been the most challenging for you, whether it's carbon fiber or magnesium or zirconium, any other raw materials? Any color there would be great.
Andy Butcher: Yes, you've hit the big three there with carbon fiber, magnesium and zirconium. And all of those, we're now seeing good availability. And all of those we've introduced secondary sources of supply. So very pleased with the availability there. We do continue to see some smaller areas where there's some discontinuities in supply from time to time. So pyramid or kevlar or fiber, occasionally, some of the basic materials. So I don't think we're through some of the supply chain difficulties entirely, but very much improved, especially on the big three.
Michael Leshock: Great. Thank you.
Operator: [Operator Instructions] And we move on to Chip Moore with EF Hutton. Please go ahead.
Chip Moore: Good morning. Thanks for taking the questions. I wanted to ask about the flow that you saw in alternative, if you could maybe expand on that and discuss that with what you see sort of mid- and longer term. And then I think you alluded to some savings you've identified as well. Maybe you could talk about magnitude there.
Andy Butcher: Yes. Thanks, Chip. Welcome to the call. Let's start with alternative fuel. You'll remember, of course, that sales into alternative fuel are all about providing cleaner energy sources, compressed natural gas and hydrogen. For transporting bulk quantities of fuel and secondly, storing those fuels on vehicles. And the slower area for us in Q1 has been in that bulk gas transport. There were a number of projects in North America and Asia that gave us a boost in 2022. Now we're looking for those follow-on programs that can convert some opportunities in Europe. And then on the vehicle side, there are some delays on the approvals of some of the newer vehicles. But we're actually seeing really decent sales in most of the traditional areas and buoyed by the upcoming launch of new larger CNG engine. Generally, we look for alternative fuel to strengthen quite considerable considerably now as we progress through the year. On the cost side of the business, we have two specific projects to reduce fixed offs. In powders, we've previously announced the simplification of our footprint and consolidating from three sites into two. We expect that will be complete by the end of the year, while in Pomona, we've also introduced some significant structural changes to that California plant that will allow us to operate more cost effectively.
Chip Moore: Got it. That's very helpful. And maybe my second question on partially related on the headcount investment you talked about and some of the refresh on strategic development, maybe you expand on that. You referenced sort of getting ready for where opportunities may arise, inflation reduction apps and things like that, may be expand on that. Thanks.
Andy Butcher: Yes. So as you know, over the last 12 years - 12 months, we've been emphasizing this program of profitable growth, and very pleased in the first quarter about the strong sales that we saw in defense, first response and health care. So we have been putting some extra results not just into research and development and engineering, but also to sales and business development, particularly in the Elektron part of the business, and we're starting to see some of the benefits from that.
Operator: An encore recording of this conference will be available in about two hours. A link to a recording of this webcast will be available on the Luxfer website at www.luxfer.com. Thank you for joining us today. The next regularly scheduled call will be in late July when the company discusses its second quarter 2023 financial results. This ends the Luxfer conference call.